Operator: Good morning, and welcome to the AMERCO Fourth Quarter Fiscal 2022 Year-End Investor Call. [Operator Instructions] Please note, this event is being recorded.  I would now like to turn the conference over to Sebastien Reyes. Please go ahead.
Sebastien Reyes : Good morning, and thank you for joining us today. Welcome to the AMERCO Fourth Quarter Fiscal 2022 Year-end Investor Call. Before we begin, I'd like to remind everyone that certain of the statements during this call, including, without limitation, statements regarding revenue, expenses, income and general growth of our business, may constitute forward-looking statements within the meaning of the safe harbor provisions of Section 27A of the Securities Act of 1933 as amended and Section 21E of the Securities Exchange Act of 1934 as amended. Forward-looking statements are inherently subject to risks and uncertainties, some of which cannot be predicted or quantified. Certain factors could cause actual results to differ materially from those projected. For a discussion of the risks and uncertainties that may affect AMERCO's business and future operating results, please refer to Form 10-K for the year ended March 31, 2022, which is on file with the U.S. Securities and Exchange Commission. I'll now turn the call over to Joe Shoen, Chairman of AMERCO.
Joe Shoen : Good morning, everyone. There are still a lot of stressed-out consumers in the moving and storage market. U-Haul has been blessed with the strong internal population migration over the past 2 years. Fortunately, we are having to scramble to meet current demand for moving equipment. There remains much inflation occurring in the vehicle market and elsewhere. We're simply having to manage with those facts.  Self-storage continues to fill at historically high rates. If we had more product, we could probably rent it. We will continue to build ground up and conversion projects. Jason has effectively capped our cost of borrowing for the near term. I have a solid team in place, and we are managing through the ever-changing environment. My thanks for your continued support.  Jason, do you want to…
Jason Berg : Thanks, Joe. Yesterday, we reported fourth quarter earnings of $4.42 a share. That's compared to $3.76 a share for the same period in fiscal 2021. For the full year fiscal 2022, we reported net earnings of $57.29 a share as compared to $31.15 the year before. I'm going to start this morning discussing equipment rental revenue. We saw an increase of nearly 12% or about $79 million in the fourth quarter compared to the fourth quarter of the previous year. Keep in mind that this improvement came on top of the 33% increase that we had in the fourth quarter of last year. For the full fiscal year of 2022, equipment rental revenue increased by 28%, or $875 million. For the quarter and the fiscal year, trucks, trailers and towing devices all had revenue increases across both the in-town and one-way markets. The revenue improvements were a combination of transactions as well as average revenue per transaction. As we have progressed through the year, the rate of transaction growth has moderated. We've seen improvements in U-Move revenue continue now into April and May. As we reported, our end of the year truck fleet count increased to just over 186,000 trucks. We did increase the amount of spending on the fleet this year as the availability of new trucks improved compared to fiscal year 2021. However, it was still well below where we wanted it and frankly needed it to be. Capital expenditures on new rental equipment were $1.61 billion for the fiscal year 2022 compared with $870 million for fiscal 2021. For the fiscal years 2018 through 2020, we had averaged just under $1.2 billion a year in growth fleet acquisitions. Whereas the last 2 years now, we've averaged just under $1 billion.  Going into next year, we are projecting around $1.8 billion in gross equipment purchases. Of course, that depends upon manufacturer availability. We've slowed the number of units that we retire and sell, and this has resulted in the growth of the rental fleet. Proceeds from the sale of retired equipment increased by $75 million to a total of $602 million this last year. Sales volume was below fiscal 2021 levels, but proceeds per unit were elevated. Self storage performance remains strong. Our occupied unit count at the end of March increased by 91,530 units compared to March of the previous year, and that trend continued through April. Revenues were up $37 million or 28% for the quarter, and we finished the 12 months up $140 million or 29%. Our all-in blended occupancy rate for the entire portfolio for the quarter increased from 74% last year to 83% this year. For the subset of those facilities that have stabilized, and I'll use the definition of being at 80% for the last 2 years, occupancy increased from the fourth quarter of last year to this year by 250 basis points to 96%. We also had 99 more properties that fit this definition this year versus the same time last year. We are seeing increased revenue per foot indicating improvements to our average rates as well. Spending on capital expenditures related to real estate were $1 billion for fiscal 2022, that's up from $505 million last year. We currently have somewhere around 7,300 million net rentable square feet in development across 152 projects. We still have about 120 properties behind that, that we own but have not yet started building on. And we have somewhere around $260 million of deals that are currently in escrow that we may or may not close on.  Operating earnings at our moving and storage segment increased by $17.1 million to $134.4 million for the quarter. And for the full year, we saw a $670 million increase to $1.577 billion for the year. Operating expenses for the quarter were up just under $127 million, our 2 largest operating expenses, personnel and fleet repair and maintenance accounted for nearly half of the increase. While increases in personnel have stayed in line with revenue increases, repair and maintenance during the fourth quarter increased faster than revenue. This is the result of the slowing of our fleet rotation program combined with increased miles driven by our customers.  Other expense categories, we saw increased faster than revenue during the quarter include the liability costs associated with the fleet, equipment licensing, freight expense. A big chunk of that associated with U-Box and cost of goods sold associated with our moving and storage retail product sales. At March 31, 2022, our cash and availability from existing loan facilities at our moving and storage segment totaled $2.723 billion. With that, I would like to hand the call back to Joe, or operator, to begin the question-and-answer portion of the call.
Operator: [Operator Instructions].
Sebastien Reyes: Joe, I'm going to go ahead and ask 2 questions that came in ahead of the call from Craig Inman at Artisan Partners. The first is, we've seen some businesses give back revenue gains from a COVID-induced bump. What is management seeing with regards to activity in the rental business? And how are you planning future capacity in the truck rental business?
Joe Shoen: Okay. I'll take the first bit of that. We're not seeing it step back in absolute dollars, but I think that the rate of increase of revenue in the moving and storage business may well fall to pre-coated levels, but just a guess. I don't know that for a fact. There's been some rate gain through that, and I don't think we're going to have to give that back. I think that's going to stick. So I don't see the -- it so much as a bump is maybe a step-up that's what I'm starting to see. That's what I've been working towards. We've had a very across the business plan to try to wow the customer through COVID, try to be the vendor who didn't close their doors, didn't rebuff the customer so that when out went away, these people would stick. So we probably got some business from competitors, and we, for sure, got some business from people who've never really used our products and services before. What was the second half of the question?
Sebastien Reyes: How are you planning future capacity in the truck rental business?
Joe Shoen: Right now, all our plans have been forced due to our inability to secure the number of trucks that we wanted to get. So very much if you look for the next 12 months, it's going to be, as Jason alluded to, driven very much by what capacity the manufacturers have. They're under incredible pressure to change their product line to an electric version. And they simply don't have product that meets that description. So they've kind of curtailed production of what we would normally consider our fleet vehicles in the hope that they get something else for that something else has not yet emerged. So there's just simply an undersupply of vehicles of the type that we would use. And that's really going to drive our fleet plan over the next 12 months.
Sebastien Reyes: The second question from Craig is, can you talk about the rising inflation influences in the business? Where do they hurt the most? And where is there opportunity to improve?
Joe Shoen: Well, clearly, we're seeing inflation and cost of new vehicle acquisitions. No question about that. We're building stores, as Jason alluded to, and construction is up. I think that property had already inflated a year ago. So our current results reflect the inflation in property. There's some inflation in construction expenses that we're incurring now. Wage inflation is very real, and we're probably going to realize more of that this year than we did last year, although that's difficult to actually say. On the other hand, equipment rental rates are inflating. So to some extent, the fact that we have some older vehicles in the fleet that were acquired at prior prices, if rates inflate closer to whether it's costing for new equipment, where we might pick a little -- we might actually get a few dollars. In storage, I don't know if any of you monitor what fairly recently built storage is selling for, but the prices it's selling for imply more rate inflation. So the people who are -- and there's -- it looks like to me like billions of dollars going into that market. A bunch of people are going in and the prices they're paying have inflation very explicitly built in. And if those rates stick, then we'll pick up a little bit of margin on that also. Jason, you had something you would add to that?
Jason Berg: Sure. I'll just talk about what's affected us most in results for this year is the more obvious cost. So freight expense, for example, us shipping things around to our various stores and then us shipping U-Box containers around the country. Those costs have elevated quite a bit, and we've seen that affect margin this year on cost of goods sold for our retail products, hitches, propane, moving supplies, we're seeing those costs run through. And we're one of the dwindling number of companies that still utilizes the LIFO method of accounting. So that tends to accentuate our cost of goods sold in an inflationary environment. On the equipment side and the self-storage side, those are costs that we're incurring economically. And then as far as the income statement or earnings goes, they will bleed into earnings over time as as depreciation steps up.
Joe Shoen: I'll make one more gratuitous comment. Energy costs are way up, and it's -- obviously, it's in fuel and it's many, many other things. And if that turns consumer sentiment negative, our experience is people will move shorter distances, resulting in lower transaction value. I don't have that going on presently, but there's only so much people are going to take. Right now, people still seem reasonably optimistic, but the -- they see the price of fuel, they discuss it in front of our salespeople at the counter. I think we have -- as fuel efficient are probably a more fuel-efficient fleet than our truck rental peers. But still, if people get too concerned about the cost of energy. They're just going to get negative and pulling their horns which it has not happened yet, but very well could happen over the next 12 months.
Sebastien Reyes : So I think we're ready to go back to any queued up questions.
Operator: Our first question will come from Steven Ralston with Zacks.
Steven Ralston: First, can you hear me?
Joe Shoen: Yes. Very good.
Steven Ralston: The last -- prior to this last quarter, the prior 6 quarters saw a tremendous operating leverage with margins expanding. And now we've seen the first quarter where basically the rise in expenses is equal to the rise in revenue. But as Jason said, that means you've also captured the margin increase of the year ago quarter. As I go through my financial model, it seems like it comes down to those 2 expenses you talk about, personnel expenses and the fleet maintenance costs are the reason for just the steady margin going forward. Could you describe the financial dynamics of as you implement or reaccelerate your fleet rotation program? How that will affect your expenses relative to revenues?
Jason Berg: Sure. I'll -- this is Jason. I'll start off with that one. The biggest effect is repair and maintenance. So we're -- it's not necessarily a one-for-one trade-off. As depreciation decreases, which is largely a signal that your fleet is aging so then your maintenance costs go up. What's accentuating that right now is customer activity, more miles are being driven on the equipment. So we're seeing much more along the lines of preventative maintenance, and you couple that with the labor market, which has made it more difficult for us to hire mechanics and keep and stay fully staffed on mechanics, which then translates into using more outside repair systems, which usually comes in a little bit higher cost and also takes a little bit longer for them to complete the work.  So we're getting hit on those 2 fronts. For the year, for the 12 months, repair and maintenance was not margin negative. But to your point, it's been getting -- it's been tightening up through the year. And then in the fourth quarter, it turned margin negative. So it's not necessarily a 1 for one, but as we bring in more equipment, we will then sell the equipment that requires the highest amount of maintenance, and that should have an effect on repair.
Steven Ralston: In the -- I believe it was a 10-K, its management estimates that the money put towards increasing the fleet in fiscal 2023 will be $1.1 billion. But here on the call, you mentioned it was $1.8 billion, but you mentioned it was gross. Could you explain the discrepancy?
Jason Berg: The difference is how much we think we're going to sell. So the net number that we quote in the 10-K is gross sales of right around $1.8 billion less what we think we're going to bring in in sales proceeds. And we used the sales proceeds then to offset the cost of the new equipment. So that's why we net that out.
Steven Ralston: All right. Moving to the self-storage area. The number of locations increased about 3.5%, but the square footage was almost double that at about 6.5%. And are you moving strategically to larger facilities?
Jason Berg: I'll start with that one. A big chunk of what happens there is we do our storage projects typically in phases. So we will open up a storage facility maybe with as little as 10,000 to 12,000 square feet available. And then kind of tranche it out into additional phases. So that won't show up as a new facility, but we're adding square footage to existing facilities.
Steven Ralston: And while it was a surprise to me that we're seeing this increase in square footage, your average rate per foot is also going up.
Joe Shoen: It's a strong story market now, Steve. It's just a strong storage market. There's no getting around it, that it just is. And interestingly, when you see what other people are paying, they're paying based on they believe they're going to see steady rate increases. I can't predict the future. As I've said before here, I think there'll be some point here, some of this has got a mill over in the storage business, just like any other thing where everybody gets real exuberant, but the -- there's plenty of people investing tremendous sums of money who believe that it's going to go up. If it goes up, we'll go up with it. I can assure you with that. But I can't tell. We make what I think are a little bit more conservative assumptions than what I see other people in the industry doing when we do our financial analysis and that kills a bunch of projects that breaks the heart of my field people, but we have a pretty stringent deal, and we just aren't unwilling to assume quite a rosy atone. Maybe that's going to cause me, or it has caused me to lose some deals. There are some deals I didn't buy 2 years ago at the last 2 years of rate inflation, have made good deals. So -- but still I'm a pretty hard 1 to stampede on that. And so that's kind of what's going on. I think that there's still going to be some rate increase in the storage business. And the other thing you have to know about the storage business is it's very localized. It's hard to generalize and say, well, what are rates doing in New England. Well, it gets real community oriented. So we could have a little nose over in some markets and other markets could see real strong. I'm trying to pick those locations, of course, that I think are have a little more chance of seeing staying strong. And I suspect all my competitors are too. They don't share that with me, but they're intelligent people. So I assume they're trying to. But, of course, that's what we're trying to do is pick those locations. One thing that's kind of a little different in our portfolio today. Most of our vacancy is at places that have substantial vacancy. We've rented up. Do you have a public number on what our occupancy is, you do, don't you --
Jason Berg: Sure. So our average occupancy for the whole portfolio is just under 83%. But we have 80% of our facilities now are over 80% occupancy. And at those locations, we're averaging 95% occupancy. So well over 3/4 of our number of locations, is that is above 80%, and they're averaging 95% occupancy there.
Joe Shoen: So you can see that I have stores that don't have a lot of opportunity to increase rooms rented. But they still have an opportunity with rate and we're working rates and still getting some juice out of the lemon. So the biggest thing I would say is the market is assuming rate increases, and we are trying to develop in areas where we think the rate will hold.
Operator: Our next question will come from Adam Sues with Yacktman Asset Management.
Adam Sues: As you know, we've been investors in America for a number of years, and we're now one of the largest, if not the largest outside shareholders of the company. So we certainly like the company's positioning and frankly, the value that we see in both of the pieces. But we've also been pretty quiet shareholders and I thought it was long overdue. So I'll reach out for a couple of questions today. Maybe we can -- maybe we can start with first on the truck side. Can you expand on the previous comments around the main drivers of the truck business in a little more detail. You talked about the margin pressure this quarter, but overall, the business is up significantly since prior to the pandemic. You talked a little bit about the step up. How much of that is pricing versus number of transactions versus number of miles driven and which one worries you the most about potentially reverting back to pre-pandemic levels?
Joe Shoen: I'll start out and say what I'm worried about most and that's overall transactions. Over my career, what I've seen is that good times and bad times, what changes is the distance people drive, not whether they move. And the pandemic cost a little more mobility or something. I'm not quite sure that if anybody knows absolutely. But if transactions hold, we will manage transactions to get whatever revenue is there. And if people become pessimistic, the revenue that's available will decline, but there'll still be movers, and they'll still be doing business with us. And when consumer sentiment improves, we'll get some longer moves and some rate out of it. So I watch transactions very, very closely. I'll let Jason speak to dollars. He's always managing the dollars more closely. Go ahead, Jason.
Jason Berg: So Adam, for the fiscal year, I would say about half of the increase was coming from transactions and the other half was split between the number of miles driven by our customers and the rate that we were charging per mile. And then if you compare that with the fourth quarter, the transaction portion of the increase is probably down to closer to 1/4 of the increase with miles and then our average revenue per transaction, which is a combination of miles and rate being the other part of it. So as the year has gone on, part of that is the first quarter comparison that we had this year versus the first quarter last year, which was hindered by COVID. So it was naturally going to come down a little bit, but we're still seeing a reasonably good transaction increase on top of a very strong quarter last year per transaction.
Adam Sues: Okay. And my second question on the truck side. You mentioned kind of there's in-town moves and then there's sort of one-way moves maybe across the country or moving to a different state. How do you think about the competitive advantage of U-Haul on the one-way side of the business? Is there any -- can anyone compete with you there? And how much of truck revenue and profit comes from that one-way moving business versus sort of in count moves?
Joe Shoen: I'll talk to the competition. I'll see if Jason has any comment on the margin. U-Haul has the most comprehensive distribution network, which means we're more likely to be at both your origin and destination, which is important to the customer because part of their economy is where do they have to go to get the truck and where do they have to go to drop it off. So even if a competitor might have a rate differential, the unspoken part of it is you have to drive the truck another x miles to drop it off and get yourself back to your residents. So that erodes a little bit. price advantage they might have. So on the other hand, our network is much more expensive to maintain. So I don't have real hot numbers, but [indiscernible] probably has somewhere around 3,500 outlets, something like that, maybe a little less, budget, maybe 3,000 minus. So you can see them going up against us with maybe 22,500 or 23,000 outlets that we're -- we just have a much more likelihood to be in your neighborhood. So that affects the economy, the move. It also affects the customers' awareness that the service is available because in their normal daily travels, they see our locations. And so they perceive self-move is available in their community. And if they don't see the competitor, well, it's not quite as clear. Now the Internet is always touted as it's going to overcome that. It hasn't yet overcome. That's not to say it won't. But we have -- between us and the competitors we have different strategies. If I had to guess they get a higher margin on their business. If they don't, they're fools, because they have much less apparatus to manage. So if I was running their deal, I'd run a higher margin U-Haul those. But U-Haul overall our strategy has been relatively successful one.  So Jason, you -- I don't know if you have any thoughts on relative margin. 
Jason Berg: Sure. So as far as the revenue split goes, our in-town business is a little over half of the revenue. The one-way business is little less than half and the way we have those structured from profitability perspective it doesn't really matter to us where the transaction comes from. It can be one-way, it could be in town, it could be at a company store, or it could be at a dealer. If we're doing things right, it really shouldn't matter to the bottom line. 
Adam Sues: Moving on to the storage side, you've discussed on prior calls that it's hard to sort of disentangle the truck business and the storage business, but maybe just qualitatively if you can discuss more detail, how you think about the synergies between the two of them that make it -- make them better together? How many truck customers are renting storage, or if you compare to a standalone U-Haul storage only operation to one that had both, how are the financials different for the one that's offering both storage and truck business together? 
Joe Shoen: So the going in cost is substantially greater if you're in the truck rental business. You simply have to have more real estate. So let's take somebody like CubeSmart. They can go in, they can squeeze their operation into an acre. And -- so we -- if we do that, we won't have the truck rental component, just have storage and we do that, but not normally. So there's a going in cost that's different. Then you get into a very hazy area, which is how do you allocate costs over time. Well, if you go to a storage place, mostly they're sitting on their ass waiting for something to happen. That's basically the truth. And that's what holds wages down in that business, because they're not creating that much value for our work. And you go to one of our places, they're probably a sweat and they're probably figure they're going to be perspiring two hours from now. They're more, more or less moving at our places now. Not everywhere I've got some does, but the volume of business engages more personnel that can be good or bad. We're going to see personnel costs go up. So it's going to maybe reflect a little rougher on us. I don't know.  I think they're just different strategies. I don't know that one is -- there's some days I wish I had more stores like CubeSmart and there's other days I'm glad I don't. So we -- there's a strong coincidence of moving in storage. You could go in the 1930s, they were related. Beacon is moving in storage, a big company in the 30s. So I always tell my crew, it's like hotdogs and baseball. They just coexist. Now can you always capture the business? Well, I'm sure there's sometimes you don't capture the business. But -- and we know statistically that a great number of public storage customers or CubeSmart customers move in with all equipment. And inside our group, we always treat that as a win we get that move in, why did they get that move in. And there's a bunch of different reasons for it.  Sometimes it's media for performance on our part. But there's other very legitimate reasons why consumers make their storage preferences. Storage is a very geographic specific product. And if you have the location there, you're going to get some business. So how many customers move into how many U-Haul customers move into storage? I can answer it the other way, probably of people who move into storage use a rental truck. And that's been a fairly consistent number, maybe not to the exact percentage point, but roughly, that's been pretty constant for 20 years. So people use rental equipment to move into storage and being able to be a one-stop shop, I think is positive. But they're just different strategies between what us and our storage competition has. And I don't think either one is exclusive of the other. I think they're both good strategies and I'm sure that public storage benefits us renting trucks, okay. That is how we planned it, but that's how that works sometimes.
Adam Sues: My last question today really is following up maybe some comments that you had made in the previous call when you were sort of listening to shareholder feedback. And is around sort of priorities for capital and capital allocation. And if there’s been any sort of changes in thinking on the topic, I know there’s a big need to sort of rebuild the truck feet truck fleet, which we discussed. And so you have a big step up in CapEx and continuing to invest on the storage side. But we’re conservative investors. And I think you managed the company very conservatively. Debt levels are lower than essentially pre-pandemic levels, way more conservative than storage peers, sort of pay a small token dividend, sort of never repurchase stock, which is unusual. I’m just curious, has there been any change in thinking and sort of how are you thinking about capital and the direction and priorities of the business going forward?
Joe Shoen: So we’re doing a lot of thinking. I don’t know that there’s anything that I can say public other than it’s a very active discussion to have a fairly active Board of people, I think, are very balanced outlook and we put lot a lot of effort into having long-term wealth maximization for the shareholders. I don’t know if there’s anything I can say beyond that without I’d just be talking just make the SEC math or something. On the operational front though, I don’t think we have changed any of our plans going into next year and allocating between equipment or self-storage or U-Box. Our plans are to continue to move ahead in those areas. On the real estate side, we spent about $1 billion this year. I would suspect that we would do somewhere close to that or maybe a little bit more next year, but that’s a real rough estimate. It’s real hard to tell how many projects we can get through permitting and whatnot. But I think next year would look – at least what it looked like this year and hopefully more on the truck side.
Operator: Our next question will come from Jamie Wilen with Wilen Management.
Jamie Wilen: Congrats on a great year. $1 billion in profits is a pretty decent number. I'll start on self-storage. Could you tell us what the increase in rate was that you experienced during the last fiscal year?
Joe Shoen: Sure. I think the -- if you were to average it out over the course of the year, maybe we're up 4.5%, 5% on a more current number, the move-ins. People that are moving in now, the average rate per foot is about 7% higher than it was last year.
Jamie Wilen: Okay. That seems to be a little bit below the industry. Is that part of your strategy?
Joe Shoen: I think it's above the historical rate. When you quote industry rates, you have to go look at discounting. And I looked at the portfolio of properties here recently. And their economic occupancy was about 90, but their economic occupancy was 78%. So the rate isn't what the rate is. And so that difference is all discounting. And we have a standard discount that we have not changed is 1 month with a truck rental. And we haven't -- we're not engaging in extensive discounting. So to my way of thinking the numbers that Jason quoted were higher than we've been able to sustain over any 10-year period. Could you agree to that, Jason?
Jason Berg: I would say that the overall portfolio of 4.5% to 5% -- or 4% to 5% is kind of historical, but the 7% in current move-in rates is higher than normal about 3 points higher.
Jamie Wilen: Historically, it used to take you, I believe, 4 years to get to that 80% rate. The units that you're opening up now, is that your same expectation? Or have they been filling up quicker?
Joe Shoen: 18 Months, maybe less.
Jamie Wilen: 18 --
Joe Shoen: 18 months, way faster [indiscernible]. Market’s just hot. Market has been hot for [indiscernible], I can't totally explain it. I'd like to manage [indiscernible] but I think other people would quote a similar number. I don't -- they don't share the numbers with me, but I visit facilities and such. I think that we're not anywhere near unique at that.
Jamie Wilen: Okay. Because you -- obviously, you opened up 4.5 million square feet of space in the current fiscal year at 0%. So it obviously has -- and your occupancy rates overall have grown tremendously. So that obviously that year 1 is a much quicker pace than you had anticipated.
Joe Shoen: Way quicker. And it's an interesting thing is, of course, what that does is. And I encourage that creates competition between managers. So we give recognition to those people -- other people. It's raised people's expectations of themselves. Our general -- our store managers in general have a higher expectation of themselves and that causes them to do better. It's same in sports or anything. So I'm trying to hang on to that rent up rate. Now we'll see how that works out. But I'm trying to hang on to that because, of course, it's massively more economic for us.
Jamie Wilen: Correct. And do you plan on adding 4 million to 5 million square feet annually as you move forward? Is that the game plan?
Joe Shoen: I'd actually like to add a little bit more. Right now, if you said we're up, could you quote 91,000 rooms?
Jason Berg: Yes.
Joe Shoen: So adhesives were up 91,000 rooms, the rooms roughly average 10 square foot per room. So we're renting up faster than we're adding product, which is what you're seeing in the overall occupancy rate increase. I would like to be adding product at about the rate I'm renting up, but it just doesn't kind of work out that way because the lead time is so great on adding products. So I need to be adding enough product that I don't lose the present opportunity, but not so much product that I get caught with a hangover and it troubles me. So I'm trying to manage that, and I'll be somewhat successful doing that.
Jamie Wilen: So because of the number of facilities you have, in progress, I would assume you are growing at a faster rate in terms of annual square footage than just about anybody else in the industry.
Joe Shoen: Well, it gets a little confusing. Our 3 major competitors, Life, CubeSmart, Extra Space and Public [indiscernible], all have management programs out there. So there increasing their facing to the public important faster than us. Although I think in owned square footage, we're increasing faster. That's Jason you study and more than I do.
Jason Berg: Yes. I would say over the last 5 years, we've kept pace with some of the fastest movers in the industry. And I would say that maybe a difference is our -- the vast majority of what we're putting on is new product versus acquiring existing products or something that someone else has built and opened and started. And so -- for us, I think one of our best years for adding space, I think we put somewhere around 6.5 million square feet on in the 12-month period, give or take a few hundred thousand. So I think we do have some more upside as far as being able to put square footage on.
Jamie Wilen: And you have 120 properties, I believe you said kind of in your land bank. What's the value of that, that you have of assets that is not yet under development in self-storage?
Jason Berg: Jamie, it's a great question. I don't have that number right in front of me. I apologize.
Jamie Wilen: Okay. Moving over to U-Box for a second. You are very explicit about the number of trucks you have, the number of trailers, towing devices, square feet and self-storage. But we really haven't discussed the number of U-Box containers we have out there today versus what we had out there 2 years ago.
Joe Shoen: I'm trying to remember the number, and I actually I don't remember. We're up in U-Boxes. It's a -- like anything that's growing at a pretty good clip every number that I say is obsolete about 30 days later, and we're still seeing above average amount of what you call dislocations. U-Box kind of like trucks, you need to have them where the business is. So just having them doesn't guarantee that you're going to do it. We're somewhere north. I don't want to say where we are because the person wants to know the most is our competitor. We're steadily increasing. We're -- we see no reason we're not going to be able to continue to increase over the next several months. We get new boxes from 2 sources. We build some and we buy some from third parties. I could shut the third parties off pretty darn quick. It might take 4 or 5 months to shut off our internal production.  Mostly I'm trying to jack it up because we have increased demand but I don't see a near-term possibility they'll have an oversupply. There are patterns in new box just like there are new hauls, so people tend to move more people into Texas, then move out of Texas that mean more people move out of San Francisco then move into San Francisco. So constantly, we're having to get boxes empties to San Francisco, so they can move to Austin that we've been doing with too many at Austin. So we're still -- we understand the basic flows. We're still working on what's the most economic way to balance those flows.  So you get the best utilization. You cannot work I think we're a little -- I think we're better at that with trucks. But my son, Sam, who runs U-Box, says he's better at it than the truck people are. So it's just a good, healthy competition. We should be able to leverage things we've learned in the truck business into the U-Box business or else to say the other big component is how much box storage space we have. Do you have any idea of occupancy rate on U-Box storage? Jason, do you know a number like that?
Jason Berg: No, I don't have that.
Joe Shoen: It's seasonal. It's -- so we end up with a little bit for boxes in storage in the summer than in the winter. But the new box storage business continues to grow. That's the good news there. So U-Boxes both a moving product and a storage product and exactly how to report on it isn't -- you think out, we're about 15 years in this business. You think we'd have -- we know exactly how to report because that motivates of course, the people at the front lines. But there's -- we changed much of that in the last 18 months, and it was for the better it helped motivate people better. But I don't think we here's a good -- a better quote.  If I open a big warehouse, I got a big warehouse in Sacral going to open here or just opened. And it's going to immediately impact business because my team members will know that if they sell the U-Box move that we'll be able to service it. There's other markets, and I'll pick L.A. We have not enough U-Box warehouse capacity. So my people there are timed about selling it because they don't want the customer to come back and be hot because we underperformed. And having a warehouse is critical to your performance because as soon as the box leaves the customers' premises, it needs to go to our premise. And that means an inside secure halfway modern storage building. So there's a little bit to that. We've added square footage there. We'll continue to add square footage there. And that is part of what drives overall business. And I'm fighting desperately to get better space in L.A., but we're not keeping up. I would say the same thing about Seattle. Although we just brought a nice warehouse online there within the last month, that will cause a bump in our business immediately. And if I can get 2 or 3 more nice warehouses in Seattle correctly located and everything, I think that will bump our business. So there's -- that's a big market the U-Box market is.
Jason Berg: Jamie, this is Jason. I just wanted to jump in real quick. The answer to your previous question, of the 120 or so properties that are, you call it, land bank at costs that are on the books for about $360 million.
Jamie Wilen: Okay. On to U-Box. When I look in the 10-K, other revenue was $427 million this past fiscal year. Is that all U-Box?
Jason Berg: No, it's not. There's a few other programs that fall into that, but it's certainly becoming the majority component of that yet. It's not yet -- as Joe mentioned, with no 1 else reports their operations publicly. The requirement that we would have to report those revenues separately is 10% of gross revenue, and it hasn't hit that mark yet.
Jamie Wilen: Okay. Other revenues was up nearly 50%. Would you characterize your box revenues as being up 50% or so in the past year?
Jason Berg: It is certainly high, if not quite 50%
Jamie Wilen: Okay. And lastly, on U-Box. How large is U-Box relative to that other competitor that I don't want to mention by name?
Joe Shoen: Well, if you could get us their revenue, we'll get you a part. I'd be faster to hear that.
Jamie Wilen: Do you have any idea how many facilities they might have relative to how many U-Box facilities you have?
Joe Shoen: No, I don't. The U-Box people probably do, but I don't. I think we've got some number on locations at this point.
Jamie Wilen: And lastly, in regards to the previous questioner about closing the value gap between the value you've created and what the public market is giving you as a value, which is an incredible discount to what you're worth. I would hope over the next -- you had said by the end of the year. And I would hope over the next 6 months, you can really drive the Board to have a firm dividend policy to think about buying back stock, to think about a number of ways of creating more value for the company, whether it's splitting the stock or changing the name to U-Haul, there are so many avenues of your disposal. And I think it's incumbent upon you to do what's best for all shareholders of which your family happens to be the largest one, but to close that value gap, and I hope you can come to some conclusion.
Operator: This will conclude our question-and-answer session. I would now like to turn the conference back over to management for any closing remarks.
Joe Shoen : Well, thanks, everyone, for your participation today. We really appreciate it. We look forward to speaking with you after we report our first quarter results in August. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.